Operator: Hello, and welcome to the Robert Half International First Quarter 2011 Conference Call. Our host for today's call are Mr. Max Messmer, Chairman and CEO of Robert Half International; and Mr. Keith Waddell, Vice Chairman, President and Chief Financial Officer. Mr. Messmer, you may begin.
Harold Messmer: Thank you, and hello, everyone. Thank you for joining us on our call this afternoon. As it's our custom, I'd like to remind everyone that comments made on this call contain predictions, estimates and other forward-looking statements. These statements represent our current judgment of what the future holds and include words such as forecast, estimate, project, expect, believe, guidance and similar expressions. We believe these remarks to be reasonable but would remind you that they are subject to risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. We have described some of these risks and uncertainties in today's press release and in our SEC filings, including our 10-Ks, 10-Qs and today's 8-K. We assume no obligation to update the statements made on this call. Now let's review our first quarter results. Revenues for the first quarter were $881 million, up 19% from the first quarter of last year. Income per share for the first quarter was $0.18, up 248% from 1 year ago. Cash flow from operations was $19 million in the first quarter and capital expenditures were $15 million. We raised our quarterly cash dividend to $0.14 per share, paying a total of $20 million to stockholders during the quarter. We also repurchased 1 million RHI shares during the quarter at a cost of $30 million. Approximately 10.4 million shares remain available for repurchase under our board-approved stock repurchase plan. We saw continued strong demand for our professional staffing services during the first quarter, particularly in our Robert Half Technology and Robert Half Finance & Accounting divisions. We also saw an improving pricing environment, indicative of further strengthening in our underlying labor market. Now, I'll turn the call over to Keith Waddell. Keith will provide a more detailed review of our first quarter results.
M. Waddell: Thank you, Max. Company-wide revenues were $881 million in the first quarter, an increase of 19% from the first quarter of last year and an increase of 3%, sequentially. There were 63 billing days in the first quarter of 2011 compared with 62 billing days in the first quarter 1 year ago, and 62 days in the fourth quarter of 2010. There are 63 billing days in the current second quarter. Revenues for Accountemps were $331 million. On a same-day basis, this is up 13% from a year ago and up 1%, sequentially. Accountemps is our largest staffing division with 353 offices worldwide and accounts for 37% of company-wide revenues. Revenues for OfficeTeam were $176 million in the first quarter. On a same-day basis, this is an increase of 23% from the first quarter of 2010 and a decrease of 1% from the fourth quarter of last year. OfficeTeam is our high-end administrative staffing division. It was established in 1991 and represents 20% of company-wide revenues. There are 317 OfficeTeam locations worldwide. Robert Half Management Resources had first quarter revenues of $111 million. On a same-day basis, this is up 18% from last year's first quarter and up 6%, sequentially. Robert Half Management Resources was introduced in 1997 and plays a senior-level accounting finance professionals on a project basis. It has 154 locations worldwide and makes up 13% of company-wide revenues. Revenues for Robert Half Technology were $97 million in the first quarter. On a same-day basis, this is up 27% from the first quarter of 2010 and up 3%, sequentially. Robert Half Technology was introduced in 1994 and places information technology professionals on a project and full-time basis. This business operates on 115 locations worldwide and accounts for 11% of company-wide revenues. Our Permanent Placement division, Robert Half Finance & Accounting, had revenues of $68 million in the first quarter. On a same-day basis, this is a 37% increase from the first quarter of 2010 and an increase of 12%, sequentially. Our Permanent Placement services were established in 1948 and are in 353 locations worldwide. This business accounts for 8% of company-wide revenues. International staffing operation had first quarter revenues of $242 million. On a same-day basis, this is an increase of 25% from the first quarter of 2010 and an increase of 7%, sequentially. On a constant currency same-day basis, these growth rates were 22% versus 1 year ago and up 6%, sequentially. We have staffing operations in 102 locations in 19 countries outside the U.S. International staffing operations represent 31% of total staffing revenues. Protiviti revenues were $99 million in the first quarter, up 10% from a year ago and down 5%, sequentially. Formed in 2002, Protiviti is a global business consulting and internal audit firm providing risk, advisory and transaction services. Protiviti and its member firms serve clients through a network of 70 locations in 23 countries. Protiviti's international operations represent 28% of total Protiviti revenues. Now let's review gross margin. First quarter gross margin in our temporary and consulting staffing operations was $246 million or 34.4% of applicable revenues. This compares with 33.6% of revenues for the first quarter of last year and 34.5% of revenues for the fourth quarter of 2010. Sequentially, higher pay bill spreads substantially offset the combination of higher state unemployment rates, the absence of prior quarter workers compensation credits and slightly lower conversion revenues during the quarter. Year-over-year, gross margins widened with higher pay bill spreads and higher conversion revenues, more than offsetting higher state unemployment taxes. Overall staffing gross margin was $313 million in the first quarter or 40% of staffing revenues. This compares to 38.6% of revenues in Q1 2010, and 39.7% of revenues in Q4 2010. The mix of Permanent Placement revenues directly impacts overall gross margin and represents 8.6%, 7.5% and 7.9% of revenues for Q1 2011, Q1 2010 and Q4 2010, respectively. First quarter gross margin for Protiviti was $25 million or 25.2% of Protiviti revenues as compared to $18 million or 20.6% of revenues in Q1 2010. The year-over-year improvement is the combination of higher utilization rates and more cost flexibility as a result of using more variable cost labor. Sequentially, gross margins declined from 28.8% of revenues in the fourth quarter due to seasonally lower utilization rates. However, the utilization decline was less than in years past because of a more flexible cost structure just discussed. In addition, Protiviti also saw firming of its bill rates during the quarter. Turning to selling, general and administrative costs. Staffing SG&A costs for the quarter were $267 million or 34.2% of staffing revenues. This compares to $230 million or 35.5% of revenues for the first quarter 1 year ago, and $257 million or 34.4% of revenues for the fourth quarter of 2010. During the quarter, we continue to invest in additional headcount, particularly in our Robert Half Technology division. First quarter SG&A cost for Protiviti were $27 million or 26.7% of Protiviti revenues. This compares to $26 million or 29% of revenues for the first quarter a year ago, and the same $27 million or 25.6% of revenues for the fourth quarter of 2010. Protiviti SG&A costs are essentially flat for all periods presented. Operating income from our Staffing divisions was $46 million during the first quarter or 5.9% of staffing revenues. Temporary and Consulting divisions contributed $38 million of this amount or 5.3% of applicable revenues. First quarter operating income for our Permanent Placement division was $8 million or 11.6% of applicable revenues. The operating loss for Protiviti was $1.5 million in the first quarter or 1.6% of revenue. This compares to an operating loss of $7.6 million in the first quarter a year ago or 8.5% of revenues. Turning to accounts receivable. At the end of the first quarter, accounts receivable were $467 million with implied days sales outstanding of 48.2 days compared to 46.1 days at the end of the first quarter a year ago. The increase reflects the strong revenue growth at the back end of this year's first quarter. Now let's turn to second quarter guidance. We saw the following trends in the first quarter and the first few weeks of April: On a same-day sequential basis, Temporary and Consulting revenues were down in January, up in February and up again in March. On a same-day basis, Perm Placement revenues were also down in January, up in February and up again in March. During the first 2 weeks of April, revenues from our Temporary and Consulting businesses were up 20% compared to the same period last year. For the first 3 weeks of April, revenues from our Permanent Placement division were up 41% compared to the same period last year. That said, we'd remind you that Permanent Placement trends are difficult to assess over such short time periods. Taking into account these trends, we offer the following second quarter guidance: Revenues, $880 million to $930 million; income per share, $0.18 to $0.23. As you know, we limit our guidance to 1 quarter. Consistent with prior quarters, our guidance does not include any amounts for the possible settlement of outstanding legal claims. The estimates we've provided on this call are subject to the risks mentioned in today's press release. Now I'll turn it back over to Max.
Harold Messmer: Thank you, Keith. During the first quarter, we continue to see positive revenue trends on both the year-over-year and sequential basis in nearly all of our lines of business. This would seem consistent with past recovery patterns, in which demand for professional positions has historically recovered later in the cycle. Our Permanent Placement operations also had another strong quarter. From our perspective, this has been among the fastest, post downturn recoveries we have seen in our business. We feel Robert Half is well-positioned to take advantage of improving economic conditions should this trend continue. We're optimistic for several reasons. Demand for our professional services has been growing stronger for several quarters now. We hope to see wider adoption of flexible staffing models by employers, including the use of temporary and project professionals at higher skill levels become a legacy of the recession. We are confident in Protiviti's near and long-term growth prospects. Protiviti's information technology practice has successfully expanded its consulting services in areas such as IT, security and privacy, IT application controls and IT infrastructure management. In addition, the global financial crisis has triggered a new round of financial regulatory oversight. And Protiviti's financial services industry practice is well-positioned to assist clients in complying with new reform legislation. I would add that our staffing divisions also stand to benefit from these developments as well. Once the economy is fully on its feet, demographic trends may present growth opportunities. This includes the excess of baby boomers in the job market and the potential labor shortages that could result. We believe confidence levels are improving among small and mid-sized companies, which represent the majority of our staffing clients. We are optimistic about the opportunities we see in technology staffing, as well as the growth potential in the Accounting and Finance segment where we are the recognized leaders. At this time, Keith and I will be happy to answer questions. Please limit yourself as usual to 1 question and a single follow-up as needed. If time permits, we will certainly try to return to you later in the call if you have additional questions. Thank you.
Operator: Your first question comes from the line of Mark Marcon from R. W. Baird.
Mark Marcon - Robert W. Baird & Co. Incorporated: Congratulations on the nice results. I was wondering if you could talk a little bit about what you're seeing in the technology area, just in terms of -- you have broadcasted that you are ramping in that area if you're -- we're clearly seeing that. I'm just wondering if you could kind of characterize what inning we're in, how many people did you end up adding. It doesn't look like you added much in the way of offices, sequentially. How should we think about that part of the business?
M. Waddell: Mark, as we've said, we've been investing in technology now for several quarters. We're very happy with the results we're getting from that. We did add to headcount in existing branches, and we see the growth coming more from more headcount in existing branches than we do in new branches. So you don't see it in the branch count. As far as what the inning we're in, it's a big market. Technology is strong throughout. We've added a lot of recruiters, the tech development side, the programmer analyst are growing more quickly than is the tech support side because that's where we're investing the higher number of resources. But we're optimistic. We're going to continue to invest internally. We like organic growth. We think we get the highest returns from that and we're optimistic.
Timothy McHugh - William Blair & Company L.L.C.: Keith, can you just discuss what you're seeing in terms of -- or how you're changing your go-to-market strategy, just in terms of -- is the target at all different?
M. Waddell: The target client is still a middle-market client, not a FORTUNE 1000 client. Might it be a little larger than what we've traditionally done in accounting finance, yes. But it's not a lot larger and further, not only do we focus on middle-market end users, we also focus on integrators that in turn, focus on middle market end users. And we're having nice success on both fronts.
Operator: Your next question comes from the line of Tim McHugh from William Blair & Co.
Timothy McHugh - William Blair & Company L.L.C.: Yes, Keith, first I want to ask about the revenue guidance, maybe you can give us some high-level color. You mentioned exiting the quarter on a very strong rate and the April trends were very good. But the year-over-year growth rate implies a little bit of a slowdown versus the Q1 overall result. So just what are you seeing out there that results in your guidance?
M. Waddell: Well, on the low end of the range, our guidance essentially says we stay flat in the second quarter versus what we just reported. In the high end of the range, we basically take March's growth rates, which continued into early April and extrapolate for the full quarter. And if you adjust everything for billing days, at the high end of the range, the temp year-over-year growth actually accelerates, not decelerates. Perm is a little bit less, but not significantly less. If you look at the quarter just ended, January was a pretty tough quarter, a tough month, partly for weather, partly for holidays, partly because January, it's tough getting started again. But we had a tough January, but we did better in February and we did a lot better in March, and March continued into early April and the high end of our range assumes a continuation of March and early April.
Timothy McHugh - William Blair & Company L.L.C.: Okay, and where are you guys at in terms of the hiring plans you talked about really on rating last quarter? Is that still a multi-quarter process that you're just kind of starting on? Do you feel you've done most of the additional hiring you got to do at the start of the cycle? Where do you stand right now?
M. Waddell: We have 2 distinct types of hiring. One is productivity based, which says as long as your productivity statistics in a given branch are above minimum levels, you can add people consistent with that. The other, we heavy up in certain areas and technology is the area we've been heavying up the most. And given the success we're having in technology, given the continuing demand we see in technology, we will continue to add to headcount in addition to what productivity levels would dictate.
Timothy McHugh - William Blair & Company L.L.C.: So is there any -- should we expect the similar kind of pace of growth in the SG&A over the next couple of quarters? Is that a fair way to take that?
M. Waddell: Well, I mean, clearly, we look at incremental margins every quarter as does everyone else. And clearly, the incremental margins for the first quarter just reported are impacted by the additional hiring that we've done. We think that's a good investment, and we think the results of the last 3 or 4 quarters confirm that. So we continue to plan to invest, as I just stated. Now, might the SG&A ease off a little, maybe. But again, we're committed to technology and we're committed to add headcount there.
Timothy McHugh - William Blair & Company L.L.C.: Okay. Thank you.
Operator: Your next question comes from the line of Jeff Silber from BMO Capital Markets.
Jeffrey Silber - BMO Capital Markets U.S.: Thank you so much. Max, at the beginning of your remarks, you talked about improving pricing environment. I was wondering if you can give us a little more color either by your specific segments or by geographic region. Thanks.
Harold Messmer: Go ahead, Keith. Keith is getting ready to add response. So go ahead, I'll add comments to the end.
M. Waddell: As everybody in the industry knows, we had a new state unemployment tax increase effective January 1. We were extremely pleased at our ability to essentially offset that additional cost with pricing. There's no question, recruiting is becoming a more important part of the equation in getting people placed on both the perm and the temp side. And for the first time in a long time, we're seeing candidates get multiple offers. We're seeing candidates getting counter offers from their existing employer when they announced they are leaving. We see temp candidates leaving the assignment, mid-assignment to take full-time positions. All of which indicate a firming on the candidate side. We're seeing higher pay rates in every single division, sequentially. And we are passing on those pay rates with more markup as well. If you look at our pricing, on a sequential basis, our prices this quarter are up 3.4%. And that compares to 0.8% last quarter. Year-over-year, our prices are up 2.4%. That compares with negative 2.4% last quarter. So clearly, the candidate side of the market is firming up, and we see it with all of the metrics I just talked about. And that typically is a precursor for good things to come in staffing.
Harold Messmer: Jeff, last week, we had our annual awards event for our top performers from around the world. And Keith covered the details very, very well. I would just say to you that I think there's been a sea change in what's happened in the last few months in terms of the attitudes. As Keith said, the market is tightening and our people have seen it. And it's a different environment. So we're pleased with the pricing, but we're not surprised based on what our troops are telling us.
Jeffrey Silber - BMO Capital Markets U.S.: All right, that's great to hear. And just a couple of numbers questions. I'm just wondering, in terms of your second quarter guidance, what share count and tax rate is embedded there? And what are you budgeting for capital spending for 2011? Thanks.
M. Waddell: The share count might drift down a little bit. It won't change much. The tax rate's been drifting down. This quarter was a little less than last quarter. Next quarter ought to be the same or a little less, again, not significantly different. CapEx, we said last quarter, would be $50 million to $55 million for the year and we're sticking with that. We might be tracking that more toward the high end of that than the low end of that.
Jeffrey Silber - BMO Capital Markets U.S.: All right, great. Appreciate the color.
Operator: Your next question comes from the line of Andrew Steinerman from JPMorgan.
Andrew Steinerman - JP Morgan Chase & Co: Could you give me a sense of where you think Protiviti is in the cycle? I mean, I realized that the losses were less than expected in the first quarter and the revenues didn't touch better. But do you feel like we're now looking into the second quarter with seasonal uplift, profitability, et cetera?
M. Waddell: As far as where Protiviti is in the cycle, it's hard to know. I think consulting services are generally viewed as later cycle than staffing. That said, Protiviti has clearly seen a firming of its demand. The second quarter seasonally is typically a lot like the first, maybe a little better. So our thinking is the profitability would be the same or a little bit better, not significantly different. The U.S. did particularly well. But outside the U.S., we didn't do as well during the quarter. Japan is about 5% of Protiviti operations. Japan obviously had its issues, which impacted the quarter. But we're very pleased with Protiviti from the standpoint of its being able to affect higher bill rates, similar to staffing. And in fact, the bill rates are actually a little firmer in Protiviti than they are in staffing. Protiviti is using more and more variable labor. I think for the quarter, almost 20% of its workforce came from contract resource, primarily through our Staffing divisions. And that cost flexibility certainly helped the margin line. We've got more and more joint wins between Protiviti and Staffing. And we're feeling good.
Andrew Steinerman - JP Morgan Chase & Co: Thank you so much, Keith.
M. Waddell: Thank you.
Operator: Your next question comes from the line of Sara Gubins from Bank of America.
Sara Gubins - BofA Merrill Lynch: Well, thank you. Could you talk a bit about what you expect for margins over time in the technology areas that you're building up?
M. Waddell: Because we're focused primarily on middle-market firms, the margin structure for technology isn't that different than it is for accounting and finance. Currently, they carry a higher SG&A load because we're adding to headcount at the SG&A line. But at the gross margin line, we actually have higher than company average gross margins from technology. It is -- not only is it not a drag, it adds slightly. And because the client focus is not FORTUNE 1000, we feel pretty good about what the margin is going to look like over time with technology.
Sara Gubins - BofA Merrill Lynch: Okay, great. And then just as a follow-up, the temporary staffing gross margin had a nice year-over-year improvement. Is that sustainable? Could we see it expand year-over-year, even further than that?
Harold Messmer: Well if -- there's a few things going on. Our pay bill spreads have widened to cover the state unemployment cost. But conversions have begun to come back. Keep in mind that conversions traditionally are 3% to 5% of temp revenues. They went well below 3%. They're approaching 3% again, but they're still below the traditional low end of the range. So we certainly think there's more upside there with temp pay bill spread improvements we saw this quarter. We're certainly more optimistic than we were a quarter ago that we can continue to make progress with those spreads and the tightening of the candidate market certainly bodes well in that regard.
Sara Gubins - BofA Merrill Lynch: Okay. Thank you.
Operator: Your next question comes from the line of Kelly Flynn from Crédit Suisse.
Kelly Flynn - Crédit Suisse AG: Thanks. Sorry, question is related to gross margin and pricing. First of all, just on your Q2 guidance, Keith, sometimes, you'll tell us what the implied gross profit margin range is there. Can you give us that?
M. Waddell: Our thinking is that the 2 gross margins for the second quarter are same or slightly better than the first. Again, if you look over the course of the quarter, our gross margins in March were better than they were in January. And so, we've carried some of that over into our guidance for the second quarter, not all of it, but some of it. But clearly, if anything, better.
Kelly Flynn - Crédit Suisse AG: Okay. And then where do you think your gross profit margin can get to eventually, given your current mix of business?
M. Waddell: Well, I don't see mix playing a big differentiating role as we go forward. If you look at our temp margins today, which are 5-ish percent versus double digits, a couple of things have to happen. You need about 300 basis points in gross margin. If you look at that 300 basis points, about 1/2 of that is in conversions. And with the firming of the full-time hiring market, you have to feel pretty good that we can get those 150 basis points back for conversions. The other 150 basis points is pay bill spreads. And again, with the firming candidate side of the market, we feel better about that. The remaining 200 basis points is SG&A coverage, which is more of the leveraging fixed cost, back office cost, headquarter's cost, IT cost than it is what we pay our producers. So that's how you take your temp operating margins from 5% to 10% over time.
Kelly Flynn - Crédit Suisse AG: Okay. And so it sounds like from what you're saying, it's not unreasonable. You think you could get there in short order because it's not really pricing. It's not only pricing that's driving it.
M. Waddell: We think we can get there. Short order means different things to different people. We're going to get there as quickly as we can. Whether you'll conclude that short order or not, I guess time will tell.
Kelly Flynn - Crédit Suisse AG: Okay. All right, thanks a lot.
Operator: Your next question comes from the line of Kevin McVeigh from Macquarie Research.
Kevin McVeigh - Macquarie Research: Great. Hey Keith, I was wondering if you could give us a sense of how much Management Resources and Accountemps is sourced to Protiviti now? And I guess, as a percentage of their businesses, how much is servicing Protiviti?
M. Waddell: I guess without giving percentages, all we'll say is that Protiviti is 1 of the top 3 clients of our Staffing divisions and growing. And frankly, it should be and we think that will just grow over time. But it's clearly very significant to staffing.
Kevin McVeigh - Macquarie Research: Okay, and just real quick, on the sequential guidance from the first quarter, you were thinking gross margins are going to be down about 50 to 75 basis points. Obviously, you came in a lot better than that. Where was the upside? Was it in the pricing or just where did it come in better than expected?
M. Waddell: The pricing was clearly better than expected. We made a concerted effort. We were conservative in our estimates of how successful that would be. So clearly, the difference versus our guidance is that the pricing came in stronger than we expected.
Kevin McVeigh - Macquarie Research: Great. Thank you.
Operator: Your next question comes from the line of Paul Ginocchio from Deutsche Bank.
Paul Ginocchio - Deutsche Bank AG: I just have a question on Management Resources. Wondering if that business at all competes with the Big 4. And other have said the Big 4 have been a little bit more difficult on pricing. Certainly, you're not seeing that. What's your take on the Big 4? Thanks.
M. Waddell: Well, being clearly, MR competes to some degree with the Big 4. Protiviti competes more with the Big 4. But just as the Big 4 are Robert Half's auditors, I can tell you that when they came back to us this year for their audit fee, they expected an increase. They didn't get the increase they were hoping for, but they got an increase. So I would say our experience would be that there's firming across the Big 4, and there's a halo effect from that for Protiviti and for Management Resources. Our experience would be a little different than what others have said.
Paul Ginocchio - Deutsche Bank AG: Great. Thank you.
Operator: Your next question comes from the line of Jim Janesky from Avondale Partners.
James Janesky - Avondale Partners, LLC: When Keith and Max -- when you look at the Perm segment, about 11.5% operating margins, can you give us an idea of where you are in terms of headcount investments in that segment and where you expect margins to go sequentially?
M. Waddell: Well, Jim, 20% margins are quite achievable in the Perm side if you look back through history. And if we're at 11% now, the question is how do you get to 20%? And while recruiter leverage is a piece of that equation, a bigger piece of the equation is leveraging your fixed back office and management cost, field management cost. Notwithstanding, Perms had a nice bounce off its bottom. The facts are it's still just over 1/2 of what the peak is. So there's a whole lot of revenue growth for Perm just to get back to where it was. And with that revenue growth, there's a very large leveraging of your operating cost. And it's that leveraging that gets your Perm margins from 10% or 11% to 20%.
Paul Ginocchio - Deutsche Bank AG: Okay, so that's not an area where you're investing in internal headcount?
M. Waddell: Well, it is an area we're investing. It's an area where we're primarily investing based on productivity. We might be getting a little bit ahead of the game. But the revenue gains we're seeing in and of themselves to support more hiring just from a productivity standpoint.
Paul Ginocchio - Deutsche Bank AG: Sure. Okay.
Harold Messmer: We're obviously optimistic. I mean, we're barely at 1/2 of our peak levels. As Keith said, we've been growing at a pretty good pace. So I'd say, as we sit here today, we feel optimistic about the job business.
Paul Ginocchio - Deutsche Bank AG: Okay. But when you look at overall hiring within your company, that is non-productivity based, such as the example you gave in your Technology segment. When do you think those investments will stop and then the hiring internally will just be productivity based?
M. Waddell: Well, there's a side of me that hopes that's a long time out because as long as we're adding disproportionately, that says we're continuously very optimistic about the growth prospects for that division. That said, progressively, the percentage of outside investments should get smaller as the crowd you hired in the past comes up to speed. So even if you continue to heavy up on the hiring and tech, you ought to get some leverage on those you hired in the early phases of the heavy-ups.
Operator: Your next question comes from the line of Gary Bisbee from Barclays Capital.
Gary Bisbee - Barclays Capital: I guess within the International Staffing businesses, a couple of questions. Does it have a similar mid-market focus to the U.S. business? And now that we're starting to see firming in a lot of places and better growth there, how should we think about, I don't know, a 3 to 5-year growth strategy internationally? Do you have aspirations and plans to open a lot more offices and really try and ramp the growth of that business at some point?
M. Waddell: Well, the -- again, we would see more growth from increasing the size of existing locations than we would from adding locations. But that said, we'll clearly be adding more locations outside the U.S. than we will inside the U.S. As far as the profile of their typical client, I would say, it's modestly larger than what we see in the United States, but it's certainly not FORTUNE 1000.
Harold Messmer: For future growth, I mean, 10 years ago, International was roughly 10% of staffing revenues. Now, it's 31% of staffing revenues. So we certainly expect to grow at a good pace internationally.
Gary Bisbee - Barclays Capital: Yes, I know it's just obviously very subscale relative to the scale of your business here. So I don't know if there's -- I'm just trying to understand if there's a plan to really accelerate that or I guess steady as she goes, continue to grow and it sounds like it's how you're thinking about it now. I guess my follow-up question is you competitively -- I know you're clearly the dominant professional staffing company. But are you seeing any difference or hearing any difference from clients as Manpower and Adecco are doing their rebranding and really trying to focus in on portions of the professional business or is it not at all, anything you've noticed today? Thanks.
M. Waddell: I think logically, their professional is focused primarily on their FORTUNE 1000 clients where they have a very large penetration and not necessarily on our middle-market clients. So I think it's not mutually exclusive that you could see them grow their FORTUNE 1000 professional business and see us grow our middle-market professional business and one not necessarily at the expense of the other.
Gary Bisbee - Barclays Capital: Okay, thanks.
Operator: Your next question comes from the line of Frank Atkins from SunTrust.
Frank Atkins - BMO Capital Market: Thank you. I wanted to ask a question about the improvement that you've seen in the pricing environment. And that seems to indicate some confidence in momentum going forward. What would be the next signs from your customers that would kind of potentially build another layer of momentum or confidence in the cycle as we move forward? Thanks.
M. Waddell: I think you would see a further tightening on the candidate side. Clearly, overall unemployment rate in this country is still very high. And so it's not like we've run out of candidates. But that said, there's clearly firming for the better candidates. And we haven't seen anywhere near the kind of candidate tightness that we would see at mid-cycle or even late cycle in a recovery. But it's certainly nice to see it firming up, beginning to firm up, which had the direct impact on what we have to pay our candidates and what we can bill our clients.
Frank Atkins - BMO Capital Market: Right. And kind of 1.5 years a little bit more into this turn. I'm wondering what your perspective is on why Perm turns sequentially higher coincident with Temp? That's not usually the case, and I'm wondering now that we're several quarters into it whether kind of what you explanation is for that at this stage. Thanks.
M. Waddell: Well, I guess we could quibble whether we're several quarters into it. I guess there's 1 point of view that we had a lower bottom in this cycle than we typically have. And we've now bounced off that bottom to kind of what a typical bottom would be. And now, we're just getting started in the cycle. So I would say, we're not 18 months into recovery, but we're 18 months of expansion or 18 months of a bounce off the bottom. But exactly where we were in a cycle is to some degree anybody's guess.
Harold Messmer: We said in prior calls that 1 reason that bottom may have been so low was that if you just think back to the panic, which is really what it was in late 2008, every CFO and CEO we knew was cutting first and asking questions later. So I think they actually cut way too deeply and they've had to add back staff at faster pace. Notwithstanding that, as Keith notes, as you could argue, we're really just getting started with a normal recovery as far as the Perm business goes.
M. Waddell: But it's certainly always been the case when the market for full-time hiring is strong, the market for Temp hiring is also strong.
Operator: Your next question comes from the line of Dan Weather from Paragon Investment. [ph]
Unknown Analyst - : I'm wondering if you could make any colorful comments perhaps regarding European pay bill spreads, if they're any different from the U.S. Thank you.
M. Waddell: We don't typically get that granular. I would say, as we seeing firming in the U.S., they've seen at least as much firming outside of the U.S., particularly on the continent. Germany and France were quite strong during the quarter and just as strong and frankly stronger than what we saw in the U.S.
Unknown Analyst - : Okay. And in terms of your staffing plans, are you adding at a significantly different rate over there from what you're doing domestically?
M. Waddell: Their growth rates from a productivity standpoint would support adding at a more rapid clip than we see in the states, which is happening as we speak.
Unknown Analyst - : So that is your intent?
M. Waddell: Yes.
Unknown Analyst - : Wonderful. Okay, thank you very much.
Operator: And your next question comes from the line of Mark Marcon from R. W. Baird.
Mark Marcon - Robert W. Baird & Co. Incorporated: I have a follow-up with regards to Protiviti. In terms of the trajectory for the margins, how should we think about that, now that you've got more flexibility that's been built into the system? And it sounds like your office count is going to be relatively stable. Should we start getting back to what we saw in Q4 in terms of profitability levels near-term? And what do you think the trajectory looks like there?
M. Waddell: I guess, Mark, when we think of Protiviti profitability is the big 3: Our utilization or chargeability, bill rates and leverage. In the last 12 months, chargeabilities improved dramatically. Bill rates have improved dramatically. Leverage hasn't changed much as we've kept our higher level partners, Managing Directors. And more of the attrition has been at the bottom of the pyramid. So going from here, the profitability gains come more from rebuilding out the staff levels at Protiviti, where you get more leverage than you get at the MD level of Protiviti. But we've been very pleased, particularly this quarter, with the margins. We were actually profitable this quarter in Protiviti in the United States. But we're optimistic going forward and the focus going forward, as I just said, would be rebuilding out the staff levels of Protiviti because we've done a fairly good job retaining the higher levels of Protiviti during the downturn.
Mark Marcon - Robert W. Baird & Co. Incorporated: Got it. And then can you -- do you have any speculation as to why you might be seeing some different things than some of the other people that have reported over the last couple of months? Is it just that you're going after different types of projects, your positioning is different?
M. Waddell: Again, I guess we're seeing it across our Finance & Accounting segments. We're seeing it in Protiviti, we're seeing it from our Big 4 service providers. So the outlier is what some of the other firms have reported frankly rather than what we're seeing consistently everywhere else.
Mark Marcon - Robert W. Baird & Co. Incorporated: Got it. And then, going back to Perm, it sounds like we should be getting some pretty decent leverage over the near term. Is that -- It doesn't sound like you're going to be heavy in terms of the investments there. So that's going on based on productivity? Is that correct or...
M. Waddell: That's correct. Maybe we're a little ahead of productivity, not a lot. But as revenues grow and Perms, you're going to lever that fixed cost base and your incremental margin should reflect that. So I think our incremental margins this quarter in Perm were 49%, which is not a bad start.
Mark Marcon - Robert W. Baird & Co. Incorporated: Pretty darn good.
Operator: And your last question comes from the line of Paul Ginocchio from Deutsche Bank.
Paul Ginocchio - Deutsche Bank AG: Thanks for taking my questions. Just first, did you open 9 offices for Protiviti in the first quarter? And if so, were was it located -- where were those at? Was it added earlier or later in the quarter? And do you add this typically to existing office locations where you'd have the other brands or are those separate offices? And finally, just your favorite one on share repurchases, what should we be thinking about when it comes to repurchases now that we're certainly in the middle part of the cycle? Is it still early for you guys? When do you think you'd start using up some of that strong balance sheet? Thanks.
M. Waddell: Okay, so for Protiviti offices, this was the first time we combined Protiviti-owned offices with Protiviti member firm offices to report their entire network. So Protiviti has 8 member firm offices that are split between South America and the Middle East. So we don't own those, we get a royalty from them. Those are member firms. You might consider them like franchisees. It's a very typical structure within the Big 4 world. So that's more a different way in how we communicate, how large Protiviti is than any opening of new offices. As to share repurchases, we bought 1 million shares during the past quarter of $30. And relative to my comments before, if all you think that happens so far as we bounced off a low bottom and that the cycle is just now getting started in earnest for full later cycle Finance & Accounting, that would say one thing about what we do with share repurchases as we go forward. I think history would say, we participate virtually every quarter in repurchasing shares. Some quarters, it's heavier than others.
Paul Ginocchio - Deutsche Bank AG: Thank you.
Harold Messmer: That's all of the questions we have time for today. We appreciate your interest. Thank you for your time.
Operator: This concludes today's teleconference. If you missed any part of the call, it will be archived in audio format in the Investor Center of Robert Half International's website at www.rhi.com. You can also dial their conference call replay. Dial-in details and the conference ID are contained in the company's press release issued earlier today. This concludes today's conference. You may now disconnect.